Operator: Good morning, ladies and gentlemen, and welcome to the First Midwest Bancorp 2018 First Quarter Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. At the request of the company, we will open the conference up for questions and answers for analysts only after the presentation. It is now my pleasure to turn the floor over to Nick Chulos, Executive Vice President, General Counsel and Corporate Secretary of First Midwest Bancorp. Sir, you may begin.
Nicholas Chulos: Good morning, everyone and thank you for joining us today. Following the close of the market yesterday, we released our earnings results for the first quarter of 2018, and also we issued presentation materials that we will refer to during our call today. These provide both historical financial information and our outlook for 2018. If you would like a copy of our earnings release or the presentation deck, they are available on our website in the Investor Relations section or you may obtain them by calling us at area code 630-875-7463. During the course of the discussion today, our comments and the presentation materials may include forward-looking statements. These statements are not historical facts, are based upon our current beliefs and are not guarantees of future performance or outcomes. The risks, uncertainties and Safe Harbor information contained in our most recent 10-K and our other filings with the SEC should be considered for our call today. Lastly, I would like to mention that we will not be updating any forward-looking statements following this call. Here this morning to discuss our first quarter results and outlook are Mike Scudder, Chairman, President and Chief Executive Officer of First Midwest; Mark Sander, our Senior Executive Vice President and Chief Operating Officer; and Pat Barrett, our Executive Vice President and Chief Financial Officer. With that, I will now turn the floor over to Mike Scudder.
Michael Scudder: Great. Thank you, Nick. Good morning, everyone. Thanks. Let me add my thanks to what Nick started here with and thank you for joining us today. It's great to be with you. As we started or as Nick had shared, in continuation of a practice we really started last quarter, we provided a supplemental presentation for you to follow on with us as we move through our remarks. So let me then start with the highlights, and Mark and Pat can walk you through the components. For the quarter, we earned $0.33 a share as compared to $0.02 last quarter and $0.23 versus 2017's first quarter. We certainly recognize that the quarter to quarter comparisons are challenged by the impact of last year's M&A activity, as well as tax reform. And additionally for this quarter, changes in accounting standards that went into effect. So we'll do our best to bridge to what I would refer to as core underlying performance. For the quarter, earnings per share adjusted for 2017's acquisition costs and those responsive to 4Q tax reform, was down in comparison to the linked quarter, largely due to about $0.05 per share after tax and comparatively higher loan loss provision expense. Overall, we are very pleased with our underlying operating performance, which was strong. Earning asset growth was solid, up on average about 7% annualized linked quarter. And that was largely led by loan growth. Deposit funding on average was up 3% versus the same quarter a year ago and recognized that linked quarter comparisons are seasonally impacted. So the fact that we saw a linked quarter flat relative to the fourth quarter was actually a very positive result for us given that seasonality. Our mix of core deposits remains stable and underlying betas were only up modestly. While reported margin came in at 3.8%, that's down in comparison to 2017. Once you allow for the differential impact of lower accretion and tax equivalency changes that came from tax reform, underlying margin actually expanded. And if you compare it to what it was year-over-year, it's up about 16 basis points. Similarly, our fee business has also performed well for the quarter. Again, adjusting for the year-over-year impact of Durbin as well as the required accounting reclassification of expense this quarter, fees improved 6%. Expenses were also tightly controlled for the quarter. Mark will review in greater detail our Delivering Excellence initiative which continues to make strong progress. I would simply emphasize here, execution provides meaningful improvement from our perspective in service levels and the experience that we deliver to our clients as well as efficiency. And by extension both of those, we're excited about because they also make our platform more scalable. So again, Mark can speak for that in a little greater detail. Then as I started, credit provisioning for the quarter was elevated, largely due to comparatively stronger loan growth. If you look at our first quarter, we actually had about $250 million worth of linked quarter growth. If you compare that to the fourth quarter, for that same quarter on a linked quarter basis, we saw about $50 million worth of growth. So we had about $200 million more in overall growth for the quarter. It was also impacted by higher net charge-offs attended to remediation of two independent problem credits. Again, Mark will cover that further. But I would simply offer the recognition that variability in quarter-to-quarter remediation efforts, and by extension, provisioning is natural, and frankly, to be expected in today's historically benign environment. So with that, let me turn it over to Mark and Pat for additional color.
Mark Sander: Thanks, Mike. So starting on Page 3 of our earnings call presentation, you can see the loan growth that Mike talked about, about $240 million in the first quarter. From solid organic growth, growth across our platforms and some targeted transactional activity. The first quarter is typically our slowest of the year for loan growth. Given this, we are pleased to post modest increases across multiple business units, which accounted for nearly half of our total growth in the quarter. Specifically, our C&I lines in regional, healthcare, franchise and structured finance all reported growth. Also, our commercial real estate team was able to more than offset pay-downs resulting from sales of a few office and industrial properties, with some expanded multi-family and construction activity. We monitor these two sectors closely, but are currently at very comfortable levels in our view, and thus, willing to expand them further. Lastly, our consumer book posted a solid organic quarter as well, with mortgage continuing to gain momentum. We also elected to purchase over a $100 million of high-quality transactional credits in consumer and C&I. We have periodically leveraged our strong deposit base, as well as future cash flows this way. All with an eye towards attractive risk return assets and we will maintain flexibility in this area going forward. In light of this solid first quarter, and given our continuing favorable pipelines, we are slightly raising our loan growth target for the full year. Turning to asset quality on Page 4, we unfortunately experienced deterioration in two credits early this year, which caused us to recognize losses at a higher level than we had anticipated at the end of last year. In conjunction with our strong loan growth, this led to a $7 million increase in provision in Q1 versus the linked quarter. The issues in these two credits were each unique and isolated. Going forward, our charge-off guidance is 25 to 30 basis points annualized with some potential variability by quarter. Thus, despite being elevated in Q1, for the full year we still expect total charge-offs to remain within our normalized range of 25 to 40 basis points. The stability we see in our non-performing, adverse performing and watch credit categories, as well as the overall favorable macro-environment gives us confidence in that guidance. Deposits, as demonstrated on Page 5, remain a strength of our company. Our mix remains strong at 84% core, even while we added about $150 million in time deposits in the quarter. We will continue to be market competitive across all deposit types. Our average deposits were up about 3% year-over-year in Q1, reflective of our strong underlying platform, but also an indication of how well our standard integration went. So, Pat will now cover NII and margins.
Patrick Barrett: Thanks, Mark, and good morning to everyone on the call who are listening in. Turning to net interest income and margin on Slide 6, net interest income was stable compared to the fourth quarter and up 3% compared to the same period in 2017, consistent with our overall expectations. On a linked quarter basis, the first quarter benefited from higher interest rates and growth in loans and securities, offset by fewer days in the quarter, $1 million decline in accretion and higher cost of funds. Compared to the same period in 2017, the increase was driven by higher interest rates and loan growth, partly offset by lower loan accretion and higher cost of funds. Acquired loan accretion contributed $5 million to the quarter, down $1 million from the prior quarter, and down $6 million from the same period in 2017. We continue to project relatively stable accretion levels in 2018, $18 million scheduled for the entire year, $13 million remaining after the first quarter, and quarterly amounts declining from $5 million per quarter in the first half of the year to $4 million a quarter in the second half of the year. Having said that, I need to remind you that some volatility should be expected. Moving to net interest margin, tax equivalent NIM for the current quarter of 3.80% was in line with expectations, down 4 basis points compared to the prior quarter and down 9 basis points for the same period in 2017. Excluding accretion, margin was flat to the prior quarter at 3.64% and expanded 13 basis points from the same period a year-ago. Current period margin would have been 3 basis points higher absent the reduction in tax-equivalent adjustment reflecting lower federal income tax rates. Compared to the prior quarter, margin excluding accretion benefited from higher rates largely offset by higher funding costs. Compared to the same period in 2017, the increase was principally driven by the positive impact of higher rates. Turning to earning assets, average earning assets were up more than $200 million linked quarter due to both loan and securities growth, partly offset by lower balances [as said] [ph]. Compared to the prior year earning assets were up nearly $550 million reflecting loan growth. First quarter results were generally in line with our expectations for both net interest income and margin, and our outlook provided in the January call has not changed. We continue to expect full-year earning asset growth in the mid-single-digit range and GAAP net interest income growth in the mid to high single-digit range when compared to the full year of 2017. Net interest margin for 2018 on an FTE basis is expected to be relatively consistent compared to the 3.87% we reported for last year, as the benefits of earning asset growth and higher rates are offset by lower annual accretion. Excluding accretion, we expect modest expansion in NIM on an FTE basis. And finally, I'd be remiss if I didn't remind you that projections are subject to volatility due to movements in interest rates, pace of loan growth and seasonal municipal deposit flows. Prior to turning it back to Mark to discuss noninterest income, I'll remind you that our results are a bit noisy between noninterest income and expense due to the adoption of revenue recognition standard on January 1 of this year. As a result, nearly $4 million of card and merchant expenses, previously presented in noninterest expense, we're reclassified and netted against the related fees in noninterest income. This is done on a perspective basis, prior periods were not adjusted in accordance with GAAP and the practical challenges of such restatement. We try to bridge this change for you through additional disclosure in both the earnings release and on Slide 7 and 8 of the presentation. Keep in mind this is a reclassification, there is no impact to net income. Turn it back over to Mark to discuss noninterest income on Slide 7.
Mark Sander: Thanks, Pat. So again on Slide 7, our noninterest income was in line with expectations and guidance. We have a fair amount of noise this quarter as Pat referenced, but stripping all that out, we were up 6% in Q1 versus the same period last year. This was driven by our main areas of focus, wealth management, card and treasury management, all of which posted a solid start to the year. Our outlook going forward is that noninterest income should increase $1 million to $2 million quarterly in 2018 off of our Q1 levels. Pat is going to cover noninterest expense.
Patrick Barrett: So moving on to expenses on Slide 8, as previously mentioned, total noninterest expense for the quarter was impacted by the $4 million reclass of card and merchant fees. In addition to prior year, included $4 million in bonuses and charitable contributions related to the passage of tax reform, while the first quarter of 2017, included $18 million of acquisition and integration expenses. Away from these items, quarterly expenses remain very tightly controlled at the sub $100 million level. And our efficiency ratio is stable of 61%. Our guidance on expense growth remains largely unchanged but with all the noise, we felt it'd be helpful to be more explicit. So for the year, we expect low-single-digit growth and reported expenses $96 million to $98 million per quarter on average is a good proxy compared with $95 million we reported in the first quarter. Note that this guidance does not contemplate the effect of our Delivering Excellence initiative at this point more to come on that in a moment. Quick word on taxes, our effective tax rate for the quarter was impacted by $1 million benefit related to employee share-based payments. In addition to prior quarter was impacted by the deferred tax asset write-down associated with tax reform. Excluding these items, our effective tax rate would have been 25% for the current quarter compared to 34% in the prior quarter. For the year of 2018, we continue to expect our effective tax rate to be approximately 25%. Wrapping up with capital on Slide 9. Capital and capital generation continue to be strong. In general, our capital ratios decreased slightly due to the impact of loan growth and the final phase-in of certain Basel III provisions, largely offset by earnings. Compared to a year-ago, our tangible common equity, excluding AOCI is up 22 basis points. Certain tangible common equity ratios that do not include the impact of AOCI or accumulated other comprehensive income were impacted linked quarter by the increase in our unrealized loss on securities available-for-sale due to the higher interest rate environment. Now, I'll turn it back over to Mark for remarks on Delivering Excellence.
Mark Sander: If you see, our update on Delivering Excellence is on Page 10. You'll recall that at the end of last year, we began a diagnostic review [Technical Difficulty] improve our customer service delivery, processes and efficiency. We are nearing completion of this broad initiative and encouraged that it will not only meet these objectives, but also provide the scalability for future growth that Mike referenced. We anticipate more detailed information will be available by the end of the second quarter, but we remain comfortable with our early expectations, namely that while cost of implementation will likely exceed any benefit in 2018, we anticipate at least a 5% reduction in noninterest expense in 2019 as we hit our full run rate early in the year. So we provide a brief summary of all that we've just discussed on Page 11. I'll turn it back to Mike to conclude our prepared remarks.
Michael Scudder: Okay. Thanks, Mark. So just some final remarks before we open it up for questions. As we look ahead our balance sheet remains strong. Our core deposit base is outstanding. Credit costs will average out and return to more normalized run rate combined with higher earning assets, rates and higher assets as well as lower corporate taxes. We expect earnings momentum to continue to build and obviously strengthen capital is an extension of that. As Mark just shared, Delivering Excellence is progressing nicely. We expect to communicate more specific soon and certainly progress toward implementation soon thereafter. This continues to be a strategic priority for us. And obviously, it's gathered a lot of management effort over the course of the preceding quarters. But at the same time, we don't view its implementation as either a distraction or an inhibitor to business as usual. This is just part of being a healthy growing organization and the steps that you need to take to continue to do that. So with that, let's open it up for questions.
Operator: Thank you, sir. The question-and-answer session will begin at this time. [Operator Instructions] Please stand by for your first question, sir. The first question will come from Chris McGratty with KBW. Please go ahead.
Christopher McGratty: Hey, good morning, everybody.
Michael Scudder: Good morning.
Patrick Barrett: Good morning.
Christopher McGratty: Pat, maybe start with you, on the cost plan. Just want to make sure I'm understanding the initial discussion of it. Your near-term guide is $96 million to $98 million on expenses per quarter, which if you annualize it is around $388 million or $390 million. If we grow that base at roughly inflation, call it 3%, you're starting 2019 around $400 million run rate. Is the way to think about the 5%-plus cost, take 5% off of that $400 million or any kind of adjustments? I'm not obviously going to hold you to a number. But I just want to make sure I'm thinking about it conceptually right.
Patrick Barrett: Well, it's good you're not going to hold us to a number. But I think the best way right now, because we don't have all the details prepared, we'll give more explicit guidance on that, is to think about it as sort of a $20 million reduction in run rate of expenses spread across the year. So if you take our guidance for the remainder of the year, you would come up with a full year of somewhere in the mid to upper $380 million range. And I'll remind everybody, we do have about $6 million of higher occupancy expense in 2019 as our sale leaseback. The lease accounting goes into effect with an offset of having about $50 million of additional tier 1 capital. So that's just a onetime thing. But at this point, just keep it at the 5% of expense rate.
Christopher McGratty: Okay. And then, would that contemplate kind normal course of inflation? I mean, should we assume some sort of inflation off of that or are you suggesting that the run-rate is kind of pro forma around $360 million plus the oc add-back?
Patrick Barrett: I'd really rather have all the details firmed up, what our costs and ongoing benefits are before I answer that. We typically do have a 1% to 2% sort of inflationary upward bias, certainly in staffing costs. But we've been doing a really good job of keeping staffing levels at or even below expectations, which is serving to offset that. So I'd rather not commit to flat versus inflation for 2019 at this point.
Christopher McGratty: Okay. And then, can you speak to any kind of revenue impact that this might have on your business?
Mark Sander: We think there is - Chris, this is Mark - we think there will be revenue impact. We're not building any in yet. We're not ready to talk at length about that. But we certainly believe that there are opportunities to generate revenues both in terms of greater cross-sell and greater penetration in retail client base, as well as in treasury management.
Christopher McGratty: Okay. Thanks. And, Mike, if I could sneak one in for you, given that you guys are doing a lot of resources to this priority, can you speak to the appetite for contemplating a deal, given where your capital levels are and kind of the position of the company in 2018?
Michael Scudder: Well, I'll just build off of kind of my remarks before I opened it up for questions, Chris. We put a lot of energy into creating a process and building a roadmap for what we want to accomplish, certainly off of delivering excellence and that is a strategic priority for us. But at the same time, we don't view its implementation or execution as being something that would inhibit us from business as usual. And then a part of our business as usual is - as opportunities present themselves for consolidation, if they fit strategically with what we're trying to do, then we'll certainly consider those. And don't view ourselves as prevented from executing anything that we think is in the best interest of the company.
Christopher McGratty: Okay, thanks for all the color.
Michael Scudder: Great.
Operator: The next question comes from Brad Milsaps with Sandler O'Neill. Please go ahead.
Brad Milsaps: Hey, good morning, guys.
Michael Scudder: Good morning, Brad.
Brad Milsaps: Just kind of curious, and continue on the - in efficiency plan, I was curious how you arrived at maybe 5% - kind of 5% plus or minus being the right number. And if that is the right number, kind of what does that equate to in terms of returns, ROA, ROTCE that you guys are trying to target? I assume that 5% number would get you to where you think you need to be. But just kind of curious what was the thinking around how you got there and where that kind of puts you at the end of it.
Michael Scudder: I'd say, the first part of your question, Brad, I'll take, which is we got there through, frankly, a bottoms-up look at how we can improve our processes and deliver it to our clients. And it was not solving to a number, certainly we had goals. But it was around the right answer. And we felt that the right answer will generate efficiencies and that's how we got to our 5% number, because it does, based on our analysis. The second part of your question again, I'm sorry, Brad, about our ROA and ROE…
Brad Milsaps: Yeah, I mean, you guys have been hesitant to talk about kind of longer-term profitability goals. Obviously, the interest rate environment is helping you out. But, yeah, just kind of curious what - what kind of led - what it leads you to, I guess? Where do you want to be or what do you consider excellent I suppose?
Patrick Barrett: Yeah, Brad. This is Pat. We historically and continue to really target performing in the top third of our peer group, broader national peer group, as a measure of what it takes to be high performing, because things will move around. And to be a higher performer relative to other alternatives we think is the right recipe. So for us that historically has been thinking of it in a ROTCE level, something in the 13% to 15% range. And we have - so we're sort of knocking on that door right now. And so the - part of the objective of Delivering Excellence [away from] [ph] is improving the client experience is to ensure that we continue to make progress and improving our overall performance and profitability relative to others, because we know the world is not going to stand still on it.
Michael Scudder: Yeah, I think that's very well said, Pat. Brad, just to add to it, going back to the Delivering Excellence initiative, Mark hit it on that. Our first priority is to create the best experience that we can for our client. We have an opportunity to do that. It creates an ability to make that happen and deliver that service the way the clients want it, which certainly recognizes the expectations that come from a digital world and the investments in technology that go along with it. Those create the opportunity to do that better. They also create efficiencies, play back out of it. But most importantly, they also create a skill-set and a platform from which we can grow and build off of. So that's - those are the real positives that comeback out of it. And as we said, that you certainly can look, as we've guided to that 13% to 15% ROTCE, and say, that's probably on the upper end of that now given tax reform and all the earnings momentum that's out there within the industry. But ultimately, we are looking to consistently perform in that top level among peers. And to do that in our judgment, you need to both generate that return and likely continue to drive and leverage greater operational efficiency when you deliver that service to the client.
Brad Milsaps: Okay, great. And just one maybe follow-up for Mark, you mentioned that you bought some loans during the quarter, I think, around $100 million. I know you bought some consumer-type products in the past. I think you also said there are some C&I loans in that mix too. I'm just curious would those share national credits and how much? What's your appetite, I guess, for buying more and how does that play into kind of your loan guidance for the year?
Mark Sander: Our appetite for buying more and C&I is fairly low. We did a little bit just to supplement and make sure that we hit our earning asset targets early in the quarter. Then we ended up with a solid organic growth and perhaps didn't need to. But - so our appetite going forward on the C&I side, I would say, is fairly low. To answer the other part of question, yes, those are larger syndicated deals that are, I would say, of high quality. Those are slightly lower margin - we think, that's okay, given the high quality of the credit we're underwriting there.
Brad Milsaps: Okay, great. Thank you.
Operator: The next question will be from Terry McEvoy with Stephens. Please go ahead.
Terry McEvoy: Good morning.
Michael Scudder: Hi, Terry.
Terry McEvoy: Hi. I got on the call a little bit late, so I apologize. The increase in non-accrual loans in the commercial portfolio, any common theme at all, and I'm just curious maybe they came from an acquisition?
Michael Scudder: No common theme, and again, the increase was pretty modest here. I mean, our NPAs have been running in the same 90-ish basis points kind of levels for quite some time now. So we had a minor tick-up in NPAs this quarter.
Terry McEvoy: And then, the Delivering Excellence, how should we think about the implementation costs? Is there a need for technology investment and significant investments or is this more consistent with other efficiency plans where there has been some kind of one-time expenses to take care of individuals, physical locations, et cetera?
Michael Scudder: I'd say this is probably more to come in the future on that, Terry, than we're ready to delve into now. I don't think there are major technology investments. There is a little bit, but not a lot. But there are certainly some onetime costs as you try to implement programs like this. And, again, more will be forthcoming before the second quarter is out.
Terry McEvoy: Okay. And then, Mark, maybe one more for you, just overall C&I demand, pricing competition within the middle market space last quarter, and what your thoughts on pipeline today?
Mark Sander: So C&I demand is solid. It's not like people are rushing out there to make capital investments based on the tax reform. But I would say, overall businesses are optimistic, and again, positive overall mood. Our pipeline is strong. It's actually - it's up a little bit this quarter versus last. So given the growth we had last quarter, that's what leads us to think that we can continue to hit those guidance that we've given. Pricing is the rub if you will. There is just pressure. It's been a competitive market for some time. Nothing unusual in Q1, I would say. But it is very competitive. And again, as we underwrite - depending on where we are on the risk spectrum, the margins can get a little compressed. They were a little bit lower, new and renewed spreads in Q1. Again, we don't think it's symptomatic of any great long-term trend, but something we have to fight every day, I guess, I would say.
Terry McEvoy: Okay. Thanks, guys.
Michael Scudder: Thank you.
Operator: The next question comes from Michael Young of SunTrust. Please go ahead.
Michael Young: Hey, I wanted to touch on, kind of following up on Brad's question, the consumer loans that were purchased this quarter along with C&I, I mean you kind of increased borrowings in order to fund that this quarter. So can you just talk about kind of the thought process there, and then what the impact will be on margin as kind of those borrowings come down and deposits come back in, if there are some attractive characteristics of that loan book you specifically purchased this quarter?
Patrick Barrett: Two pieces to that, Michael. Hey, it's Pat. I'll maybe start off a little bit with the funding of that and Mark can wrap up with the thinking on the consumer purchases. So our borrowings are generally a subject of, obviously, where our cash flows are. And we are at a low cyclical point in first quarter as we always are on cash flows with municipal and commercial, frankly, deposits hitting their low points of the year, as they typically do. We also on the borrowing side, you guys have heard us talking about our balance sheets and funding swap strategy, where we'll periodically swap down some of our floating rate loan production into longer-term fixed rate swaps just to keep our asset sensitivity closer to mid-point. And as part of that, we enter into forward borrowing swaps, usually two or three years out. And so those periodically will come on. So probably 70% of the FHLB balances that we have are longer termed out swap balances, where we entered into forward swap agreements one, two or three years ago. And there will be more to come on that. That balance will probably grow to be close to $1 billion by year-end just to take advantage of those rates. And those rates, the stuff we have coming on this quarter, is at 1.17 for two-year FHLB money, which is significantly lower than we could get funding otherwise, and also keeps us from having to aggressively compete for deposits, which keeps our betas low.
Mark Sander: As far as the assets that we purchased, we plan for a modest amount of transactional activity in consumer. I will say in annual basis certainly for 2018 this was in our plan. We did it early in the year, because the opportunity was there to purchase high-quality assets at the right price we thought. So it was in Q1 all home equity loans, you can see that category increased about $50 million this year. So all of our purchase activity was there, prime floating home equity loans that are really nice credit score. I mean, I think our average cycle there was in the 730 range. So really - again, high quality assets for a good price we thought.
Michael Young: Okay, thanks. And without putting too fine a point on the Delivering Excellence program and the timing, but the comment that the 5% improvement will be in 2019, are you saying for the full year like it will be fully implemented by the beginning of 2019 or is this more kind of run rate improvement by 4Q 2019?
Michael Scudder: I would say it this way that - well, I can't say it will all be there on January 1. We believe that we will get that 5% fully-loaded if you will in 2019.
Michael Young: Okay. And if I can sneak one last one in, just on the credit guide for the remainder of the year, I understand you said it's unchanged, right? I had before it at a mid-20s net charge-off range, and now we're 25 to 30, so maybe a little extra caution there. Anything to read into that or is that just following on kind of the worst credit performance this quarter?
Michael Scudder: Michael, I hate to ask you do this, but you cut out a little bit there from our end. Your question was around charge-off guidance was it?
Michael Young: Yeah, so I think previously it was a mid-20s range for the full year, and now you're saying 25 to 30 basis points for the full year, so little uptick. Is there anything else we should read into that?
Michael Scudder: I don't believe, so we don't consider a couple of basis points is a material change. So going from mid-20s to 25 to 30, we consider kind of the nuance ebb and flow of normal credit activity. And, again, outsized in Q1, but normalized the rest of the year, we believe.
Michael Young: Okay, thanks.
Operator: [Operator Instructions] Next question will come from Nathan Race of Piper Jaffray. Please go ahead.
Nathan Race: Hey, guys, good morning.
Michael Scudder: Good morning, Nate.
Nathan Race: I apologize. I got on late as well. But I'm just curious, if you can provide any additional color on the two C&I relationships that were charged off this quarter. Any additional color in terms of the industry they're in, if they're long-term clients of the bank, if these are club deals or syndicated, just any additional color would be appreciated?
Mark Sander: Sure, sure. And again, I want to point out, we established reserves for both at the end of last year. We didn't anticipate the pace and the magnitude of the deterioration we saw in Q1. So specifically, the larger of the two was in the heavy equipment business. This was not an - this issue was not reflective of any weakness in the industry. Rather I'll just say it's a unique circumstance that we have referred to states and federal authorities. So while that's incredibly disturbing, I have to say that if you've been in this business long enough you occasionally see this. And people misbehave, even people that you've known for a few years. The other was a syndicated credit with - we're in a club deal with two other larger very experienced banks, where we lent on some assets that are proving challenging in liquidation. So we'll continue to pursue remedies there, but we felt recognizing a loss now was the right thing to do.
Nathan Race: Yeah, I appreciate that color, Mark. And just to clarify on the expense guide for the remainder of this year, does that - that does not or that does include any onetime costs that you would have along with Delivering Excellence or some of those onetime costs going to be recognized in 2019?
Michael Scudder: Well, I apologize. The connection has gotten very choppy here, so you broke up. I think, you were asking about our expense guide for the rest of the year, whether it includes any onetime costs, right?
Nathan Race: Right, or if some of those onetime costs are going to be reflected in 2019?
Michael Scudder: Our guidance does not include any onetime costs. In the same fashion, it doesn't include any of the ongoing run rate benefits associated with that, so those will be incremental. We are likely and working towards being able to recognize all of our onetime costs upfront in 2018. And as Mark said, expect to start getting a full - at least a full run rate to our guidance. If not, a full longer-term run rate in 2019.
Nathan Race: Got you. And can you give us a sense of the magnitude of those onetime costs that we should expect to see this year?
Michael Scudder: No. That's a more to come, hopefully late this quarter we'll have that - have all that completed. We're still probably 10% from being finished with just the design phase of implementation. And part of that is making sure that we've accumulated and validated all of the costs and benefits. Thanks for your patience.
Nathan Race: Understood. Understood. I appreciate all the color guys. Thank you.
Operator: [Operator Instructions] The next question is a follow-up from Chris McGratty with KBW. Please go ahead.
Christopher McGratty: Yeah, thanks. Thanks for the follow-up. The Slide 7 on the noninterest income, the guide of $1 million to $2 million growth is that of the $35 million this quarter or is that off of $39 million?
Patrick Barrett: Well, we're having all sorts of connection problems at this end. We hope that you can all hear us. But you're talking about non-interest income in our guidance, Chris, I think, right?
Christopher McGratty: Yeah. Yeah, is it of the $35 million mark or the $39 million that's in the table?
Patrick Barrett: Yeah, it's of the $35 million. So $1 million to $2 million a quarter off of the $35 million.
Christopher McGratty: Got it. Thank you.
Patrick Barrett: Thanks.
Operator: If there are no further questions at this time, I would now like to turn the conference back over to Mr. Scudder for closing comments.
Michael Scudder: Great. Thank you. Before closing, I want to take the opportunity to thank all of our colleagues who listen to our call for their contributions to and investment in our performance. They continue to be the base of our company and our greatest asset. I would then go on to thank all of you for your interest in and attention to our story as we share our ongoing belief that First Midwest is a great investment. So have a great day, everyone.
Operator: Ladies and gentlemen, this concludes the conference for today. Thank you for participating and have a nice day. All parties may now disconnect.